Operator: Welcome to the Air T Incorporated conference call for its 2013 fiscal year. Walter Clark, the company's Chief Executive Officer, will be leading the call today, and he will be joined by the company's Chief Financial Officer, John Parry. There will be a question-and-answer session following the company's presentation. [Operator Instructions] During the course of this call, you may hear statements that express a belief, expectation or intention, as well as those that are not historical fact. These statements are forward-looking statements under the Private Litigation Securities Reform Act, and involve a number of risk and uncertainties that may cause actual events and results to differ materially from such forward-looking statements. These risk and uncertainties are referenced in the Safe Harbor Statement included in the company's press release and are described in more detail, along with other risks and uncertainties, in the company's filings with the SEC, including its Form 10-K for the fiscal year ended March 31, 2013. The company urges you to review these filings. The company does not undertake to update any forward-looking statement made on this conference call to reflect any change in management's expectations or any change in assumptions or circumstances on which such statements are based. I would now like to turn the call over to Mr. Clark.
Walter Clark: Good morning. Thank you, and thank you. Before we review the results for the 2013 fiscal year, I'd like to draw your attention to our press release announcing our results of operations. The press release is available on our website at www.airt.net. In addition, earlier this morning, we filed our Annual Report on Form 10-K, which includes our audited financial statements. You can access our Form 10-K on the SEC's website at www.sec.gov. Today, we reported our 10th consecutive year of profitable operations. For our most recent fiscal year, our consolidated revenues increased to approximately $103 million and net income increased to approximately $1.7 million or $0.68 per diluted share. This compares to consolidated revenues of approximately $89 million, net income of approximately 1.3 -- $1.4 million or $0.55 per diluted share in fiscal 2012. The significant increase in revenue was primarily due to increased sales volumes in our ground equipment sales segment, which operates as our Global Ground Support, our GGS subsidiary. Last year, we reported to you that we have -- we were implementing actions to address the production inefficiencies at Global Ground Support, which had depressed our results in that segment. I'm pleased report that those actions have resulted in positive improvements in the segment's revenues, operating income and gross margins, though the impact on gross margin has been muted somewhat due to product mix. The increase in GGS' revenues is primarily due to $7.7 million of sales of flight-line tow tractors under our contract with the United States Air Force. Operating income for the segment was approximately $889,000 in fiscal 2013, compared to an operating loss of approximately $625,000 in fiscal 2012. The increase in operating income is the result of the 26% increase in sales, as well as 0.5% increase in GGS' gross margin percentage. Gross margin percentage was impacted by product mix, margins on the flat-line tow tractor are very slim. In addition, the segment's margins continued to be negatively impacted by highly competitive environment. Revenues for our Overnight Air Cargo segment totaled $49.9 million, an increase of approximately $1.5 million, or 3% over the prior year. This segment saw its operating income increase by approximately $513,000 or 14% in fiscal 2013. The increase in revenues was primarily due to an increase in maintenance operating cost, which are passed through to our air cargo customer at cost. The decrease in operating income was due to increased management labor costs and administrative costs in both the flight and maintenance departments in fiscal 2013, as the segment added key personnel in both the flight and maintenance departments during this past fiscal year. Revenues from our Ground Support Services segment, which operates as our Global Aviation Services, or GAS subsidiary, totaled approximately $12.9 million in fiscal 2013, a 44% increase over the prior year. This segment also saw its operating income increase by approximately $171,000 or 24%. These increases were due to the addition of new customers and the opening of new locations, as this segment continues to build its customer base and revenue base. We recently announced a dividend of $0.30 per share, which is a 20% increase of the dividend declared a year ago. That dividend will be paid on June 28 to stockholders of record on June 7. At this point, I'd like to ask John Parry to review our operating results in more detail for you. And after that, we'll take your questions. John?
John Parry: Thank you, Walter, and good morning. Revenues and profits both improved in fiscal 2013 compared to the prior year. First, I'd like to discuss our revenues. Consolidated revenue increased $13.7 million or 15% to approximately $103 million for fiscal '13 compared to the prior fiscal year. The increase in 2013 revenue resulted from increases in all 3 operating segments. Revenues in the Overnight Air Cargo segment increased $1.5 million or 3% to $49.9 million, principally due to increases in maintenance operating cost passed through to our Air Cargo customer at cost. Revenues in the Ground Equipment Sales segment increased by $8.2 million or 26% to $40.3 million. The increase was due primarily to the sale of $7.7 million of flight-line tow tractors to the U.S. Air Force in fiscal 2013, compared to $85,000 in the sales of tow tractors in fiscal 2012. Commercial sales declined slightly year-over-year, with a modest increase in domestic commercial sales being offset by a decline in international sales. Lastly, revenues in the ground cargo -- excuse me, the Ground Support Services segment increased by $4 million or 44% to $12.9 million, resulting from an increase in new customers, as well as an increase in work and locations for existing customers. Operating expenses on a consolidated basis, increased $13 million or 15% to $100 million for fiscal 2013 compared to fiscal '12. This increase was due to a number of factors. Operating expenses in the Overnight Air Cargo segment were up $1.7 million or 4%, corresponding to the increase in revenues within that segment. Ground equipment sales operating costs increased by $6.9 million or 25%, again, fairly closely correlating to the increase in revenues within that segment. Ground equipment sales margins -- gross margins, continued to be negatively impacted by a highly competitive environment, including domestic, international and military contracts. In addition, as Walter mentioned, the segment's gross margin has been negatively impacted by low margins on $7.7 million of sales of flight-line tow tractors in fiscal 2013. In spite of these pressures, the segment was able to gain production efficiencies resulting in a 0.5 percentage point increase in gross margin percentage compared to the prior year. If you factor in the low margins on the flight-line tow tractors and we actually exclude the sales of those and the costs of those, our margins would have gone up 3% rather than 0.5% increase. Operating expenses in the Ground Support Services segment increased by $3.1 million or 51%, relating to the increased revenues produced in fiscal '13. The Ground Services segment saw a reduction in its operating margins as an incurred significant cost in starting up and running new large stations in 2013. General and administrative expense increased by $1.1 million or 10% to $12.5 million in fiscal '13. The company incurred increased general and administration cost and the Ground Support Services segment of $677,000 relating to staffing costs, rents and other operating costs and supply costs associated with new stations and increased business in fiscal '13. In addition, we experienced a $250,000 increase in professional fees in 2013 related to the various stockholder matters, a $122,000 increase from profit-sharing expense related to the increased profit generated by the company in fiscal '13. Income tax expense of $1.1 million in fiscal '13 represented an effective tax rate of 38.8%, which included the benefit of current year foreign tax credits and a research and development credit. Net income was $1.7 million, or $0.68 per diluted share for fiscal 2013, a 24% increase from fiscal '12. Turning to a few balance sheet items. At March 31, 2013, we held approximately $9.2 million cash and cash equivalents, and our working capital amounted to $22.7 million, an increase of $500,000 compared to March 31, '12. Inventory decreased from 13.5 million at March 31, '12, to 8.2 million at March 31, 2013, primarily as a result of the inventory reduction initiatives implemented at GGS during fiscal 2013. One thing I should note is that the financial statements also included or included in our Form 10-K included a reclassification of certain of our inventory. We have historically leased deicers and other equipment to customers on a limited basis. In Fiscal '13, while still not a significant part of our business, this activity did increase. As a result, we elected to reclassify on our balance sheet the equipment under operating leases from finished goods inventory to property and equipment. As a result, inventory with a net book value of $1.6 million and $1.1 million at March 31, 2013, and 2012, respectively, has been reclassified on our balance sheet from inventory to property and equipment. With that, I'd like to turn the call back over to Walter.
Walter Clark: Thanks, John. The strength of our Air Cargo business continues to depend on the strength of our relationship with our Air Cargo customer and the strength of the demand for our customer services that impact our business. Currently, our Air Cargo segment leases a fleet of 85 aircraft from a customer, compared to 81 aircraft at March 31, 2012. Of the 85 aircraft, 8 Cessna Caravan aircraft are considered soft parked, with 5 of the Caravans made soft parked as a result of our customer delivering 5 new 2012 model Cessna Caravan aircraft to us during fiscal 2013. The soft parked aircraft remain covered under our agreements with our Air Cargo customer, although at a reduced administrative fee. And we continue to perform maintenance on the aircraft, but they are not crewed and we do not currently operate the aircraft on scheduled routes. During the fourth quarter of fiscal 2013, our Air Cargo customer transferred an ATR72 aircraft from our fleet to a theater aircraft operator in Canada to meet scheduling needs. The administrative revenue related to the ATR72 aircraft is significantly greater than the administrative revenue related to the operation of the Cessna Caravan. We believe we continue to enjoy a good relationship with our Air Cargo customer. For our ground equipment sales segment, backlog was $6.5 million at March 31, 2013, which does not include several significant orders received after year-end. Backlog was $15.3 million at the end of the prior fiscal year. The results of this segment have been impacted by the level of orders under contract to the United States Air Force and the backlog at March 31, 2013, included only $769,000 of orders under those contracts, all of which were for flight-line tow tractors. At our Ground Support Services segment, we are developing further opportunities to expand customer relations and services in fiscal 2014. For the fiscal year 2014, our management team will continue to focus on improving efficiencies and maintaining the strong partnerships with our customer base. I'd like to open the call to your questions now. And I believe our moderator will provide you with the instructions for participating in this portion of the call. Please note that we do not plan to address matters related to our 2013 Annual Meeting of Stockholders on this call. So we please ask you to focus our questions on our results and operations. We'll try to keep the call to 30 minutes today.
Operator: [Operator Instructions] And it looks like we have no questions at this time. And it does look like we have no further questions at this time.
Walter Clark: Well, Mary, that being the case, we would like to thank everyone for joining us today. And have a good day.
Operator: And that does conclude today's conference. Thank you for your participation.